Operator: Good day, and welcome to the CRH Fourth Quarter and Full Year 2025 Results Presentation. My name is Christa, and I will be your operator today. [Operator Instructions] At this time, I'd like to turn the conference over to Jim Mintern, CRH Chief Executive Officer, to begin the conference. Please go ahead, sir.
Jim Mintern: Hello, everyone. Jim Mintern here, CEO of CRH, and you're all very welcome to our fourth quarter and full year 2025 results presentation and conference call. Joining me on the call is Nancy Buese, our CFO; Randy Lake, our COO; and Tom Holmes, Head of Investor Relations. Before we get started, I'll hand over to Tom for some brief opening remarks.
Tom Holmes: Thanks, Jim. Hello, everyone. I'd like to draw your attention to Slide 2, shown here on the screen. During our presentation, we'll be making some forward-looking statements relating to our future plans and expectations. These are subject to certain risks and uncertainties, and actual results and outcomes could differ materially due to the factors outlined on this slide. For more details, please refer to our annual report and our other SEC filings, which are available on our website. I'll now hand you back to Jim, Nancy and Randy.
Jim Mintern: Thanks, Tom. Over the next 30 minutes or so, we will take you through a brief presentation of our fourth quarter and full year results, highlighting the key drivers of our performance over the course of 2025 as well as providing you with an early indication of our expectations for the year ahead. For us at CRH, the efficient allocation of capital is a core competency. Through our disciplined and value-focused approach, every dollar we deploy is rigorously assessed to maximize shareholder value. This morning, we are going to discuss our capital allocation activities during 2025 and how we believe our superior strategy will continue to deliver industry-leading growth for our shareholders. Turning to Slide 4. We are pleased to announce a record financial performance for 2025 with another year of double-digit growth in adjusted EBITDA and our 12th consecutive year of margin expansion. All of this is delivered through the dedication and commitment of 83,000 people across our business. And I am proud of how our teams executed against the strategic priorities we outlined during our Investor Day last September. Our performance was further supported by our growth algorithm and the CRH Winning Way, which is deeply embedded in our culture and the engine behind everything we do. 2025 was also a busy year investing for future growth and value creation. Our ability to deploy capital in high-growth markets, integrate at scale and deliver unique synergies through our connected portfolio is a key differentiator for our business. We invested approximately $4.1 billion in 38 value-accretive acquisitions across our 4 connected growth platforms of aggregates, cementitious, roads and water. And we have an attractive pipeline of further growth opportunities in front of us, supported by our unmatched scale, connected portfolio and proven growth capabilities. We also invested $1.7 billion in growth CapEx projects, leveraging our size and scale to fully capitalize on high-returning, low-risk investment opportunities that will drive organic growth, support margin expansion and create long-term shareholder value. The strength of our balance sheet also enables us to deliver significant accretive returns to shareholders through dividends and share buybacks. In line with our strong financial position and policy of consistent long-term dividend growth, I am pleased to report that the Board has declared a further quarterly dividend of $0.39 per share, representing an increase of 5% compared to the prior year. In relation to our ongoing share buyback program, today, we are commencing a further quarterly tranche of up to $300 million, demonstrating our focus on the efficient allocation of our capital. Turning now to the year ahead. The outlook for our business is positive, supported by favorable end market dynamics and the benefits of our superior strategy. Assuming normal seasonal weather patterns and no major dislocations in the political or macroeconomic environment, we expect full year adjusted EBITDA to be between $8.1 billion and $8.5 billion, representing another strong year of delivery for CRH. Turning to Slide 5, where you can see some of our key financial highlights for the fourth quarter and the full year. And I think this slide really speaks to the strength of our performance. We had a strong finish to 2025 with quarter 4 revenues, adjusted EBITDA and margin growth ahead of the full year outturn. Total full year revenues of $37.4 billion were 5% ahead of the prior year, supported by favorable end market demand, disciplined commercial execution and contributions from acquisitions. This enabled us to deliver $7.7 billion of adjusted EBITDA, 11% ahead and a further 100 basis points of margin expansion, demonstrating our relentless focus on continuous performance improvement across our business. All of this translated into further growth in our diluted earnings per share, up 3% compared to 2024 or 8% ahead when excluding one-off gains on divestitures in the prior year. I am pleased to report another year of strong cash generation, delivering $5 billion of adjusted free cash flow, 18% ahead of the prior year and demonstrating the quality of our earnings and continued focus on cash conversion. Next to Slide 6, where you can see the consistency of our financial delivery over time. As I mentioned earlier, 2025 represented our 12th consecutive year of margin expansion, representing an average annual increase of approximately 100 basis points since 2013. You can also see that in addition to growing our top line, we have delivered 14% compound annual growth in adjusted EBITDA and 18% in diluted earnings per share. Overall, our track record across each of these financial metrics really demonstrates the strength of our connected portfolio of businesses and our ability to deliver consistent long-term performance improvement. When you look at our performance through the lens of total shareholder return, the story is just as compelling. As you can see here on Slide 7, we have significantly outperformed the S&P 500 Index over the last 1, 10 and 55 years with compound annual TSRs of 36.8%, 18.8% and 16.3%, respectively. Our consistent outperformance compared to the broader market highlights our position as a leading compounder of capital and demonstrates why CRH continues to be such a powerful platform for long-term growth and shareholder value creation. Turning now to Slide 8. And here, you can see the growth algorithm, which we presented during our Investor Day last September. Cultivated and refined over 50 years, this is what drives our performance year after year. As the leading infrastructure play in North America, we are uniquely positioned to capitalize on 3 large and growing megatrends: transportation, water and reindustrialization, which we believe will support significant growth and value creation for our business going forward. Next, the CRH Winning Way, core to who we are, deeply embedded in our culture and the engine behind everything we do. Through our winning way, we execute our superior strategy with discipline and focus. We drive leading performance across 4,000 locations through a culture of continuous improvement. We are responsible stewards for our shareholder capital, and we leverage our proven growth capabilities to build leadership positions in high-growth markets. All of this is supported by 4 key enablers: customer centricity, empowered teams, unmatched scale and our connected portfolio of businesses. Our winning way is what really sets CRH apart. It is the force multiplier that enables us to fully capitalize on growing infrastructure megatrends. In summary, our growth algorithm represents a powerful combination, which has delivered over the last decade. And as you can see on Slide 9, it underpins our medium-term financial targets, which we presented during our recent Investor Day. We expect to deliver average annual revenue growth of between 7% and 9%, supported by our leading positions in high-growth markets, alignment with growing megatrends as well as contributions from growth CapEx investments and further M&A. Building on our strong track record of 12 consecutive years of margin expansion, we are targeting further margin improvement across our business with an adjusted EBITDA margin target of 22% to 24% by 2030. We also continue to focus on strong cash generation. And over the next 5 years, we expect to deliver average annual adjusted free cash flow conversion of over 100%, underpinning approximately $40 billion of financial capacity to invest for future growth and deliver further returns to our shareholders. Overall, these targets reflect the scale of our ambition to 2030 and our 2025 performance provides us with good momentum as we embark on that journey. Now at this point, I will ask Randy to take you through the performance for each of our businesses.
Randy Lake: Thanks, Jim. Hello, everyone. Turning to Slide 11 and beginning with Americas Materials Solutions, which delivered a strong Q4 and full year performance against record prior year comparatives. Total full year revenues and adjusted EBITDA were 5% and 7% ahead, driven by good pricing momentum, operational efficiencies and contributions from acquisitions. Aggregates pricing increased by 4% or 6% on a mix-adjusted basis. Cement pricing increased by 1%, reflecting regional variances across our operating footprint and supporting another year of margin expansion. Despite some challenging weather conditions impacting activity levels, revenues in our roads business were 4% ahead, driven by improved pricing and contributions from acquisitions. In terms of the demand environment, I'm pleased to report that the underlying backdrop remains positive, supported by our strategic alignment with 3 growing infrastructure megatrends. Transportation infrastructure continues to be supported by strong state and federal funding. Approximately half of highway funds in the IIJA have been deployed to date, highlighting the significant runway we still have ahead of us. We also continue to benefit from investment in the whole area of water infrastructure. Over 85% of roads require water management systems, and our connected portfolio enables us to self-supply our own aggregates and cement to meet growing demand for our water infrastructure products as well as provide more value to our customers. Reindustrialization activity also continues to be strong, particularly in large-scale manufacturing and data center projects. I'm also pleased to see further margin expansion, up 30 basis points on the prior year to 23.5%, demonstrating strong cost discipline and operational efficiency across our business. So overall, a robust performance for our Americas Materials Solutions business. And as we look ahead, I'm encouraged by the positive momentum in our bidding activity and backlogs, which are ahead of the prior year. Next to Americas Building Solutions on Slide 12, where our business delivered further profit growth and margin expansion in the fourth quarter and for the year as a whole, driven by good underlying demand, strong commercial management, operational efficiencies and contributions from acquisitions. Our Building and Infrastructure Solutions business continues to perform well, supported by strong data center demand and continued investment in water, energy and communications infrastructure. In our Outdoor Living business, we continue to experience resilient underlying demand in residential repair and remodel activity. Revenues were in line with the prior year, a good performance in the context of subdued activity in the new-build residential segment and unfavorable weather in certain markets. For Americas Building Solutions overall, total revenue growth of 1% translated into a 6% increase in adjusted EBITDA and a further 100 basis points of margin expansion, supported by ongoing business improvement and asset optimization initiatives. Moving to International Solutions on Slide 13, where our business delivered strong profit growth and further margin expansion in both the fourth quarter and the full year, driven by good pricing momentum, contributions from acquisitions and disciplined cost control. On top of an 8% increase in revenue, we delivered a 23% increase in adjusted EBITDA and a further 200 basis points of margin expansion. In Western Europe, solid infrastructure and reindustrialization demand offset subdued residential activity levels. While in Central and Eastern Europe, we experienced positive demand across our key end markets and some early signs of recovery in new-build residential activity. In Australia, our business continues to perform very well, benefiting from good underlying demand, operational improvements and synergy delivery from recent acquisitions. Overall, we're pleased with our performance in 2025 with record revenue, adjusted EBITDA and margin across each of our businesses, reflecting our leading performance mindset and culture of continuous improvement. At this point, I'll hand you over to Nancy to take you through our financial performance and capital allocation activities in further detail.
Nancy Buese: Thank you, Randy. Turning to Slide 15 and our financial strength and optionality. We have a robust balance sheet with a net debt to adjusted EBITDA ratio of 1.8x at year-end, reflecting strong cash generation and a relentless focus on maintaining our financial discipline. We generated $5 billion of adjusted free cash flow in 2025, a strong performance representing a conversion ratio of 130% of net income and consistent with our 2030 financial targets. The strength of our balance sheet and cash generation capabilities underpins the significant financial capacity we expect to have at our disposal over the next 5 years, approximately $40 billion to invest for future growth and deliver shareholder returns, consistent with our long track record of value creation and reinforcing our position as the leading compounder of capital in our industry. Turning to Slide 16. You can see a summary of our capital allocation activities in 2025. First, to M&A, where we invested $4.1 billion on 38 value-accretive acquisitions, further strengthening our connected portfolio and leading positions in high-growth markets. We're pleased to report that the integration of Eco Material, our largest acquisition in 2025, is progressing well with some good early wins on commercial, operational and logistical synergies to enhance performance and create long-term value for our shareholders. In fact, over the last 3 years, we've completed 100 acquisitions, demonstrating the benefits of our unmatched scale and connected portfolio, and we have a strong pipeline of further opportunities in front of us, supported by our proven growth capabilities and the fragmented nature of our industry. We also invested $1.7 billion in growth CapEx, leveraging our size and scale to fully capitalize on high-returning, low-risk investment opportunities to expand capacity in high-growth markets, improve operational efficiency and optimize our energy usage, all of which will drive long-term shareholder value. We continue to deliver significant accretive returns to shareholders through dividends and share buybacks. In 2025, we returned $1 billion in dividends, 6% ahead of the prior year on a per share basis and representing an increase of over 60% since 2019. We have a proud track record of delivering 42 consecutive years of dividend growth and stability and are committed to our policy of consistent long-term dividend growth. Through our ongoing share buyback program, we also repurchased $1.2 billion of shares in 2025. And today, we are commencing a further quarterly tranche of $300 million to be completed no later than April 28. Since the inception of our buyback program in 2018, we have returned approximately $10 billion to shareholders, representing 23% of our shares in issue at an average price of $50 per share. Overall, we deployed $8 billion to growth investments and shareholder returns in 2025, demonstrating our focus on the efficient allocation of capital to maximize shareholder value. Randy and I will take you through our growth investments in further detail. First, to M&A on Slide 17, where we have a proven track record of value creation over many years enabled by our unmatched scale, connected portfolio and empowered teams. 2025 was an active year from an M&A perspective with $4.1 billion invested in a total of 38 acquisitions across our 4 strategic growth platforms of aggregates, cementitious, roads and water. From a materials perspective, we added 1 billion tons of high-quality aggregate reserves to our business, further strengthening our market-leading minerals reserve position. From an annual production standpoint, we added 8 million tons of aggregates, 2 million tons of asphalt and 10 million tons of cementitious materials.
Randy Lake: On Slide 18, you can see some of the acquisitions we completed, combining strong local brands with our global scale to build out our connected portfolio across our 4 growth platforms. For example, in December, we acquired North American Aggregates, a leading supplier of aggregates serving New York and New Jersey. This strategic acquisition secures valuable aggregate reserves and enhances our ability to meet the long-term needs of our customers in the region. In addition to our acquisition of Eco Material, which Nancy mentioned, is progressing well, we continue to develop our cementitious platform with the acquisition of Rock Solid Materials in Louisiana and Independent Cement in Australia. In our roads business, we acquired Talley Construction, a connected provider of asphalt paving and construction services in Greater Chattanooga, Tennessee as well as parts of Georgia, Alabama and North Carolina. This acquisition is a strong strategic fit with our existing offering and will enhance our ability to serve our customers in these markets. In water, our strategic investment in Voda AI expands our capabilities in water asset management with AI technology. This platform helps utilities manage aging water infrastructure by providing AI-driven predictive analytics to assess pipe condition and risk across transmission, distribution and collection systems. So a busy year on the acquisition front as we continue to develop our connected portfolio in attractive high-growth markets. Turning to Slide 19. We're also continuing to invest in our existing business. As you can see on the left-hand side of this slide, we have deliberately stepped up investment in growth CapEx in recent years, leveraging our footprint, scale and connected portfolio to fully capture the high-returning, low-risk opportunities that we've identified across our markets. In 2025, we invested $1.7 billion in growth CapEx. These investments are carefully targeted to expand production capacity in high-growth markets while also driving greater operational efficiency through automation and advanced technologies that reduce cost and enhance performance. We're also making investments that reduce our reliance on fossil fuels to optimize our energy consumption as well as increasing our circularity and sustainability performance. On Slide 20, you can see some examples of growth CapEx investments that we're making. At our Roseville quarry in Ohio, we're investing approximately $75 million in a new quarry and processing plant to access over 100 million tons of premium aggregate reserves. The investment will strengthen our connected portfolio in the region, reduce production costs and enhance our ability to serve customers in the high-growth Columbus market. In Marissa, Illinois, we're building a new grinding and blending facility, which will increase production capacity for supplemental cementitious materials and enable us to serve customers in new markets. We also recently completed the construction of a $100 million precast pipe and box culvert plant just outside Austin, Texas, which will enable us to meet growing demand for our water infrastructure products. The location is very attractive from a market growth perspective and will also enable us to self-supply our own aggregates and cement from our existing operations in the area. These are just a few examples of how we're deploying capital efficiently, high-returning, low-risk investments that expand our production capabilities, support margin growth and enhance long-term shareholder value.
Jim Mintern: Thanks, Randy. Another active year on the investment front, and I'm encouraged by the strong pipeline of opportunities we see in front of us. Let me now take a moment to outline how we are strategically positioned for the future. On Slide 22, you can really get a sense of the unmatched scale and connected portfolio of our business across North America, our largest market. Scale matters in our industry. And when combined with the connected nature of our local networks, it provides us with commercial, operational and strategic advantages that set us apart and enable us to deliver superior performance year after year. Carefully developed over 5 decades of entrepreneurial leadership, we have strategically and deliberately built out 4 key growth platforms: aggregates, cementitious, roads and water to become the #1 infrastructure play in the region, a position that is almost impossible to replicate today. Aggregates are the foundation of our business. They feed into everything we do from our cementitious business to our roads business to our water infrastructure platform. Approximately 95% of our revenue is connected back to this product. And with 230 million tons of annualized volumes and 20 billion tons of reserves in the ground, our aggregates position in North America is unrivaled. Turning now to Slide 23. As the #1 infrastructure play in North America, our strategic positioning and capabilities across 3 of the most powerful megatrends shaping our future are unmatched. We play a critical role in building and maintaining U.S. transportation infrastructure, the largest and most extensive network in the world. Through our connected portfolio, we are the largest paver in the U.S., equal to the next 5 largest players combined. We have a fully connected customer offering, enabling us not just to provide the aggregates, but the mix designs, the asphalt and the paving capabilities, value-added products and the services that are essential to a finished road. This enables us to capture profit at each step of the chain and maximize value for our shareholders. Transportation infrastructure remains one of the most recurring and predictable revenue streams for our business, underpinned by a robust and sustained public funding backdrop at both the state and federal level. One of the most urgent challenges we face today is the whole area of water. Across the U.S., much of the existing water infrastructure is outdated and no longer fit for purpose. With roughly 1/3 of the U.S. water infrastructure network more than 50 years old, the need to update the systems that collect, transport and treat water is critical. As a leading provider of water infrastructure in the U.S., our national footprint and deep expertise gives us a significant advantage as investment in this area accelerates. Over 80% of the products we produce in our water business consume aggregates and cementitious materials. And since over 85% of roads require water management systems, the strength of our water platform reinforces the benefits of our connected portfolio and shared customer base. We also continue to benefit from a powerful wave of reindustrialization activity. AI is fueling rapid expansion of data centers. And with 85% of all U.S. data centers within 25 miles in one of our locations, we are well positioned to benefit. In addition to being very materials intensive, these highly specified facilities require state-of-the-art water, energy and communications infrastructure, which fits very well with how we have strategically positioned our business and our customer offering. Taken together, these 3 megatrends represent one of the most compelling growth opportunities in decades. With our unmatched scale and connected portfolio across aggregates, cementitious, roads and water, we are uniquely positioned to capitalize. I will now ask Randy to briefly take you through some examples of how we are driving value at scale and leveraging the power of our connected portfolio.
Randy Lake: First, an example from our roads business on Slide 24, the Mountain View Corridor in Northern Utah, where we participated in the most recent phase of this 35-mile infrastructure project. Through our fully connected offering, we were able to supply 1 million tons of aggregates, 100,000 tons of asphalt as well as the paving services and the water infrastructure systems that were needed. By leveraging the benefits of our connected portfolio and unmatched scale, we were able to increase asset utilization, reduce capital intensity and generate higher profits, cash and returns for our shareholders. On Slide 25, you can also see how we drive value at scale in reindustrialization. We are currently involved in over 100 data center projects across the U.S., where typically construction accounts for up to 15% of the total project cost. Speed and quality are critical for these customers. And through our unmatched scale and connected portfolio, we're uniquely positioned to capture a higher share of wallet on these projects. We're able to supply not just essential materials, but state-of-the-art water, energy and communications infrastructure for these highly specified facilities as well as helping to develop all the surrounding infrastructure that's required, particularly road infrastructure. These are just 2 examples of our strategy in action, enabling us to maximize value for our customers while also generating higher growth, profits and cash for shareholders.
Jim Mintern: Thanks, Randy. Now before I discuss our financial expectations for the year ahead, let me share our thoughts on the outlook across our markets. First, to transportation, where the demand backdrop is robust, supported by the continued rollout of federal funding through the IIJA, where approximately 50% of highway funds are yet to be deployed. State level funding is also strong with 2026 DOT budgets up 6% on the prior year. In fact, 2026 is expected to be a record year for investment in transportation infrastructure, which bodes well for our business given our unmatched scale and market-leading position. We are also encouraged by the progress being made in Congress regarding a multiyear reauthorization of highway funding with continued bipartisan support for increased infrastructure investment in the years ahead. In our international business, we expect robust demand in infrastructure to continue, supported by significant investment from government and EU funding programs. We also see robust demand for water infrastructure with high single-digit growth projected in the areas of water quality and flow control for 2026. In reindustrialization, we expect continued strong demand for large-scale manufacturing and data center investment in both the U.S. and our international markets. And with the benefits of our unmatched scale and connected customer offering, we are very well positioned to benefit in this area going forward. In the residential sector, we expect repair and remodel demand in the U.S. to remain resilient, while new build activity remains subdued as a result of ongoing affordability challenges. As we have said in the past, this is not a demand issue, and we believe the long-term fundamentals in this market remain very attractive, supported by favorable demographics and significant levels of underbuild. In summary, the overall trend is positive for our business with our strategic focus on growing infrastructure megatrends and the benefits of the CRH winning way, leaving us uniquely positioned to capitalize on the strong growth opportunities that lie ahead. Turning now to Slide 28. And against that backdrop, here, we have set out our financial guidance for 2026. Assuming normal seasonal weather patterns and no major dislocations in the political or macroeconomic environment, we expect full year adjusted EBITDA to be between $8.1 billion and $8.5 billion, net income between $3.9 billion and $4.1 billion and diluted earnings per share between $5.60 and $6.05, representing another strong year of delivery for CRH. It's still very early in the construction season, but we feel good about 2026. And we will, of course, update you on our expectations as the year unfolds. So that concludes our prepared remarks today. I will now hand you back to the moderator to coordinate the Q&A session of our call.
Operator: [Operator Instructions] We'll take our first question from Adrian Huerta with JPMorgan.
Adrian Huerta: My question is with -- regarding the guidance, if you can give us further color on the guidance and the underlying assumptions that you have in terms of how we should see the top line growth and the EBITDA growth on the different divisions and if the guidance includes this recent divestment that you did as well?
Jim Mintern: Adrian, good to hear from you, Jim here. Maybe I'll kick it off and just kind of set out the broad background to the guidance of '26. And I might ask Randy then to comment on the specifics on volume and price and then maybe Nancy might write it up -- just wrap it up in terms of the puts and takes from a financial perspective. But overall, firstly, listen, after stepping off a really strong 2024, we got good momentum in Q4 and good momentum in 2025, a record year, and that's good momentum into '26. From a U.S. perspective, maybe first, really positive backdrop into 2026. And the key growth areas for us are really around transportation, water and reindustrialization. And when I say transportation, for us, that's really our road business. And as I said, it's really our most predictable and recurring revenue stream. We're sitting here at the start of the year. This is the one that we have most visibility on. And it really is -- it comes about from our coast-to-coast presence in 43 states. And typically, over a full year, we do over 1,000 jobs per annum, somewhere between 9 to 12 weeks average size job. And this is a business where scale matters, right? And really, we get the benefit of our connected portfolio, and that's what drives the consistent performance on the road business. From a funding perspective, 50% of the IIJA funds are yet to hit the street. And the state budgets are up 6% as we head into 2026 as well. So really positive backdrop from our roads business heading into 2026. Next, on reindustrialization. And for us, that's data centers. And again, for us, I think we really see the benefit of our connected portfolio here. If you think about it, a lot of the very first construction on those sites is around the energy, the water and the communications, infrastructure, that critical services infrastructure that goes into those sites. We then support that with our aggregates, our concrete and finally, our asphalt as well in terms of paving the road access. So we really kind of get above good share of wallet on those jobs, and the outlook is very good. We're active on over 100 data sites. And I think if you look at the -- in total across the U.S., there's a CRH facility within 85% of all data sites within 25 miles. So we're busy on data sites. Maybe turning next to water. Again, a good outlook, strong funding backdrop, still a lot of unspent funds coming out of the IIJA. And when you look at the aging network of water infrastructure across the U.S., really a critical investment in terms of going forward. From a res perspective, we're not -- our kind of base case for '26 is that we're not really assuming any help. It remains very subdued, and that's an affordability, not a demand issue. With a 30-year fixed mortgage, still a shade over 6%, it's just too high. So as I said, we're not expecting any benefit from new build res in 2026. Turning now maybe to international. From a Europe perspective, first, a very strong infrastructure base and funding level across our business, and that's both at an EU funding level, but also at an individual state funding level as well. We're seeing positive activity in reindustrialization across Europe, and we continue to see residential recovery. I mean, Europe is more advanced on that interest rate cut cycle. They've had a 200 basis point cut in the last 12 months, and we're beginning to see that come to fruition across our European footprint. And maybe finally, in terms of Australia, a really good performance in 2025. And as we head into 2026, I think the timing is good in terms of a continued recovery of the residential cycle in Australia. Maybe, Randy, will you pick up what that means in terms of volume and prices?
Randy Lake: Yes. Maybe just to reflect real quickly on how we finished 2025. So I'd say a really, really solid performance, Ag. Volumes up 4% year-over-year and pricing up 6% on a mix-adjusted basis. So good work by the teams in the markets that we serve. And actually, within cement as well, volume and price plus 1%. And I think you have to reflect back on cement, at least look back to 2024, coming off a very strong year where pricing was up 8%. So the teams have done a nice job, really reflects more so our footprint in terms of our operating locations. But Jim, I think, called out the underlying drivers for 2026. I've said this before, our future is really predicted a lot by our backlogs. It gives us kind of a 6- to 9-month view and bidding activity is strong. We're winning our share of business. And so it's positive to see and supportive of what our expectations are for this next year. In the U.S., we're looking at ag volumes up low single digits, supported by mid-single-digit pricing. And then cement as well, low single-digit volumes and pricing in low single digits and again, building off a good 2025, but it's reflective of really the underlying investment that's happening both in the infrastructure space and data centers in particular. A number of the same macro drivers impacting us in our international business, again, EU support for underlying investment in infrastructure and nonres activity. And so our expectations for cement in the international business is volume up low single digits and pricing up low to mid-single digits. We're still operating in an inflationary environment, labor, raw materials, subcontract, all continue to increase. So it really focuses the eye and the attention on our need for pricing momentum. So the expectation as we look at it for the full year is another year of margin progression.
Nancy Buese: So to bring it all together from a financial perspective and what's encompassed in our guidance for 2026 is just reflecting on a very active year of M&A in 2025, where we spent $4.1 billion on 38 deals. A reminder, Eco is the largest of those that we completed last September. And as we've said previously, we expect about $200 million of net incremental EBITDA in 2026 from those acquisitions. And that's really unchanged from our previous guidance. The way to think about it is the contribution from those recently closed acquisitions is really offset by the recent -- or the divestment we've announced of our Construction Accessories business, which we expect to close later this year.
Operator: Your next question comes from the line of Michael Feniger with Bank of America.
Michael Feniger: I would just love to get your view on the prospects of a new multiyear highway bill in 2026 and really the time line of when you're thinking this could get done. If we get a CR, a bridge, how do you think that impacts your customers, the DOTs? Do you see any shifts in types of projects and letting activity given your big position, obviously, with roads and your comments that 50% of the funds have not yet been deployed from the prior IIJA?
Jim Mintern: Mike, yes, maybe first, I might give a bit of context to set out the context and then ask Randy maybe just update where exactly we see it right now in Washington. Overall, as I said, we're in a really positive place from an infrastructure perspective. And we see it in the funding levels. And as Randy just mentioned, we see it in our bidding activity, and we see it in our backlogs as we head into 2026 and the season. Now if you take 2026 as an example, right, the federal highway funding for this year is at all-time record levels. And you've probably seen the very recently approved appropriation bills have set aside $75 billion for highways alone in 2026. Now also the IIJA dollars are continuing to flow with over 50% of the highway funds, as I said, yet to hit the street. So we're very confident that, that will continue to support continued investment well beyond the current IIJA's expiry later this year. And with that level of funding, again, given the scale of our road business, we really are the biggest beneficiary of that funding.
Randy Lake: Yes. I guess, just in terms of where we think -- see things playing out for a new infrastructure bill, I think early signals are positive. We're encouraged by the conversations that are happening both in the House and the Senate. You have Chairman, Graves, of the House T&I Committee and Chairwoman, Capito, from the Senate -- the Senate EPW Committee. They're working on their individual pieces of legislation in around the surface transportation bill. I think you couple that with a commitment from Transportation Secretary, Duffy. He's certainly a very strong advocate for a multiyear highway bill that's, I'd say, more focused on core infrastructure. So you have 3, obviously, core constituents aligned and around the underlying need. And by the way, this has always been and continues to be a bipartisan issue. So it's great to see the positive momentum behind those conversations we would expect. We'll see the first insights into those legislations come middle part of this year. To your question or the comment around what if there's a continuing resolution and we get a 1-year extension. I think as Jim said, we're coming off a record level of funding. In addition to that, you have the tail of the IIJA funding that would yet to be deployed. And so net-net, we would see a positive increase in terms of underlying investment for '26 and '27. Unfortunately, we've been there before. We've experienced that. And what that actually means in practicality is you see more dollars allocated to R&M activities, which actually plays to our sweet spot. So -- and that's really a focus on the federal piece. You got the states who have been very active, both at the state -- individual state level and the municipality level, 6% increase in funding in the DOTs for 2026. So in totality, we're going to see a continued advancement in the total dollar spent in infrastructure. So good conversations across the aisle, broad support, underlying need. I think everybody recognizes that. So we'll stay engaged over the months ahead, but look forward to a positive outcome.
Operator: Your next question comes from the line of Shane Carberry with Goodbody.
Shane Carberry: It's just one really in terms of the International Solutions business and just how strong the growth was in 2025. And in particular, it would be really helpful if you could go into a little bit more detail around the building blocks to that significant margin increase year-over-year, it would be very helpful.
Jim Mintern: Yes. Sure, Shane. Yes, really a very strong performance on the international division in 2025, with revenue up 8%, EBITDA up 23% and margin expansion of 200 basis points. In addition to kind of the core financial performance, there was actually some really good portfolio optimization work undertaken during the year in the international division. When I look at it in terms of international, I always think of the kind of 3 areas for me. Firstly, we've had another really strong performance in year from our Eastern European business, and that really reflects our leading position in this region. And it's really what's driving that is a very strong underpin of infrastructural funding, mainly coming from the EU infrastructure fund, good reindustrialization activity. And as I mentioned earlier, we're beginning to see the signs on the back of the interest rate cuts, some early signs of recovery in residential also. Moving to Western Europe. Again, a very good performance in 2025, and that was underpinned by strong infrastructure generally across Western Europe. I'd call out maybe a strong performance in Ireland, in the Nordics and Spain and maybe more muted in terms of France and the U.K. in 2025. Australia had a really strong year and really reflecting in our first full year, our first 12 months of Adbri, a great start, right? And what's driving that is really more synergies than we would have originally anticipated and earlier delivery on those synergies. Also, Australia, as I said earlier, has benefited from a recovery on the residential cycle also. Now looking into '26, really good momentum across the international division heading into 2026. We're expecting another strong year of growth from Eastern Europe. We're seeing signs of recovery in France and in U.K. on the residential market. We see in terms of the permits. We see it in terms of the starts, which is encouraging heading into '26. And we're looking for another year of continued growth in Australia on the back of that res cycle improving. Overall, from a pricing perspective, across our aggregates and cement position, we're looking for a good year in terms of pricing across the international business, and that would be our ninth consecutive year of good pricing across the European cement business. So overall, very positive about the international outlook into '26 and looking forward to another year of progress.
Operator: Your next question comes from the line of Angel Castillo with Morgan Stanley.
Angel Castillo Malpica: Jim and Nancy, congrats on the strong quarter here. Just wanted to ask about 2 aspects, I guess, impacting your fiscal year '26 guide. First, on Eco Materials, can you just give us a little bit more color on the progress of that integration? It seems like from the prepared remarks, it sounds like there's some early wins and strong operational performance here that could be perhaps coming in better than maybe it was expected. So just curious, as we think about that contribution of $200 million from acquisitions, whether there's maybe some upside risk to that? And then just second, just on the cost inflation, if you could kind of outline a little bit more what your cost assumptions are in terms of the key buckets for 2026. And then just as you think about mitigation or cost control initiatives, whether there's something here that might represent kind of upside, downside risk to the guide?
Randy Lake: Yes. Thanks, Angel. This is Randy here. I'll take the questions in and around Eco. Yes, we're 5 months in, in terms of the Eco being part of CRH. I guess I'd first say, certainly a very highly complementary business to our existing cement footprint across North America. I think it really strengthens our position as being the leading cementitious player in North America. If you look at the combined now productive capacity between our cement business and Eco, around 25 million tons. In addition to that, there's a broad network that was very complementary to our existing Ash Grove terminal and rail network. We now have over 125 separate locations, whether source locations, production facilities, terminals, really this national coverage now from a logistical standpoint. And I'd say the other thing that has been -- certainly continues to be impressive is the innovation capabilities that Eco has. I mean, I would call them a market maker of scale in and around the cementitious space, SEMs in particular. They have long-term supply agreements of high-quality SCMs. For us, it was an obvious place to go in terms of accelerating our cementitious strategy. SCMs, in particular, is the fastest-growing segment of cementitious growing at twice the rate by 2050 versus traditional cement. So a great fit overall. I'd say the early days. The integration is going well, super team, a very strong cultural alignment. I think one of the things that stands out that they've done well and enhanced our position as well as the value of those deep local relationships. It's something that we value across our network. They certainly have as well. And I think that gives long-term surety in regards to underlying supply and engagement with the customers. In regards to the opportunities, the synergies, I would bucket them, obviously, in probably 2 areas from a commercial standpoint, a number of cross-selling opportunities for new and existing customers, whether that's from our traditional Ash Grove Cement business or it is with Eco. So it's opened up new markets, new platforms for us, which is encouraging. That's moving faster than anticipated. And obviously, the ability to self-supply SCMs was a critical element across our network. We consume a significant amount of cementitious products within our Material Solutions business, within our Infrastructure business and Outdoor Living. So we're capitalizing on those opportunities. And then, I guess, from an operational standpoint, 2 things: one, maximizing the logistics capabilities, the railcars, driving efficiency there, the terminal network really being able to lay out a strong network to serve our customers. And then I'd say from an operational standpoint, we have a global technical services team working in conjunction with the Eco team really driving a high level of operational performance and improvement as we would have seen at Ash Grove or with the Hunter acquisition in Texas. So combined, I think we're off to a tremendous start, really making good inroads in terms of the underlying market. I think there's a tremendous amount of value yet to go get in and around both for the business and for and ultimately for our shareholders.
Jim Mintern: Yes. And maybe on the second part, just in terms of the cost inflation, Angel, where we're continuing to see inflation is across labor, across raw materials, both in services and maintenance. And it's that cost inflation is really driving our pricing for 2026. And that pricing, together with continued kind of relentless performance improvement programs that we have across the business is really what's driving our expectation of another year of margin progression in 2026, which will be our 13th consecutive year of margin increase.
Operator: Your next question comes from the line of Keith Hughes with Truist.
Keith Hughes: My question is in Americas Building Solutions. For the year, there was a nice increase in EBITDA even though we're in a weak -- organically, even though we're in a weak market because of the residential. If you can could tell me what worked in the year? And what's sort of the outlook within Americas Building Solutions for 2026?
Jim Mintern: Keith, good to hear you. In terms of the -- what's in it in terms of outlook, first in terms of 2025, the Americas Building Solutions is made up of our Infrastructure business and also our Outdoor Living business. Obviously, Outdoor Living, more exposed on the residential, primarily the majority of it is on the repair and remodel. I would say it was a resilient performance in 2025. The strong performance really came from the Infrastructure business. And that Infrastructure business, I mentioned it earlier in terms of where it plays, but particularly if you think in terms of reindustrialization, it's all the kind of subterranean concrete products that are going in and around energy, around water, around communications into those large data center facilities, but also the big chip plants as well and the complex manufacturing reshoring projects what we're seeing at the moment. So that activity, strong performance in 2025, together with, I would say, a very good focus in terms of optimization of both businesses early in the year, right? We took a lot of optimization and performance initiatives in that division in early 2025. And that really came through in terms of the EBITDA and margin expansion for the year. So I think good performance in '25 and a good outlook, again, given the backdrop primarily on the reindustrialization side in 2026.
Operator: Your next question comes from the line of David MacGregor with Longbow Research.
David S. MacGregor: I guess if we could start by just talking about M&A and what you're seeing in the way of change in the environment in 2026. And then with such an active acquisition program as you've been conducting, can you just talk about the synergy realization experience and how that's progressing?
Jim Mintern: Yes, absolutely, David. Listen, a good year, obviously, in terms of M&A activity. We did 38 deals, $4.1 billion, of which the largest was Eco Material, which closed in September. So -- and that was on the back actually of a very strong year in 2025 as well, '24 rather, when we did 40 deals. So I think we're seeing good levels of activity across the M&A pipeline. As we're into '26 at this stage, we have good optionality in terms of where we deploy capital in 2026. I think in terms of synergy side of it, again, it comes back to -- a lot of it comes back to the nature of our strategy and our portfolio, that connected portfolio, which enables us to maybe identify synergies that maybe other parties cannot do in terms of transactions. But then crucially, given the kind of competence that we have, I mean, it's one thing doing 38 deals. It's nothing being able to integrate them at pace and really secure kind of early delivery on the synergies from that perspective. And that's just a core competency of what we do. There's a very detailed playbook to support that, as you can imagine. But I do think what's key to us strategically is the connected nature of the portfolio.
Operator: And we have time for one more question. The last question is going to come from Kathryn Thompson with Thompson Research Group.
Kathryn Thompson: In your Investor Day in September, CRH had, and as you noted in the call earlier today, outlined 3 megatrends driving growth, transportation, water infrastructure and U.S. reindustrialization. How much of a -- against this backdrop, these megatrends and the things that you've talked about already today, how much of a differentiator is your connected portfolio that you spent a lot of time talking about when it comes to your M&A pipeline and the optionality you have for growth.
Jim Mintern: Thanks, Kathryn. And maybe building a bit on the last question from David as well on that point. It's a really good question, right? And it's not just about the M&A pipeline, but it really is at the core of our performance agenda as well, right, and in terms of our leading performance. And it actually strikes right to the core of who we are, right, and strikes right to the core of our strategy. And maybe firstly, from an M&A perspective, right? If you consider the fact that the scale of our business and the connected nature of the portfolio, over 4,000 locations across the business, over 2,000 in North America. And it's really that scale and the connected nature of the portfolio, which is what really gives us that optionality of where to deploy capital, right? Now we've said in the Investor Day, we're deploying it across 4 growth platforms across aggregates, cementitious, roads and water. Now if you consider the year just gone by, 38 deals in 2025, 40, as I said, in 2024. And in fact, over 100 deals in the last 3 years. The vast majority of those deals are getting sourced locally. And they're being sourced through the fostering of local relationships, often built up over decades. And that kind of local relationship in a lot of instances gives us really a lot of exclusive looks on deals and often makes us really the acquirer of choice. Now as I said to David, just on the last question, it's not just about the deals, really. It's about that ability to integrate them at scale. And I think that's a real core competency we have, right? As we look into 2026, the pipeline is good. And we mentioned in the Investor Day that you referenced that over the next 5 years, we're going to have $40 billion of financial capacity to deploy, and we expect to deploy up to 70% of that on the growth side of the equation, so between M&A and between our growth CapEx. Now we are really focused on deploying that capital into higher growth markets and across those 4 connected portfolios. However, we will remain disciplined and really value focused on the deployment of that capital. But I think what's crucial to it is that it's the connected nature of the portfolio gives us the optionality where we deploy that capital across which markets, i.e., growth markets and then across the platforms. And maybe the second part of it, as I said, is not just about M&A, it's really about performance, right? And it's really core -- that connected portfolio is really core to how we're able to deliver quarter after quarter, year after year in terms of performance. Firstly, it enables us simply to offer a more complete customer offering, which really maximizes the growth and the value creation. And we talked earlier about the range of connected products that we're supplying into the data centers, which ultimately enables us to win a higher share of wallet. Now if you look at the roads business, and I think we called it out in the Investor Day, the connected portfolio is really essential to that business, and it brings the predictability, the recurring nature of it, the really high cash yielding and high returning aspects of that business. And put simply, it enables us to turn $1 in terms of supplying a ton of bags into $6 or 6x more profitable by supplying a more connected portfolio. So that connected nature of the portfolio really enables greater visibility and also really helps in terms of the production and planning efficiencies. So I think good question. It's at the core of what we do from an M&A perspective, but crucially as well is what drives that quarter-after-quarter consistency resilience and predictability in the performance of the business. Thanks, Kathryn. Okay. Well, thank you all for your attention. And as always, if you have any follow-up questions, please feel free to contact our Investor Relations team. We look forward to talking to you all again in April when we will report our first quarter results. Thank you. Have a good and safe day.
Operator: Thank you. Your conference call has now ended. You may disconnect.